Operator: Thank you for standing by. This is the conference operator. Welcome to the Centerra Gold's First Quarter 2025 Conference Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference call over to Ms. Lisa Wilkinson, Vice President, Investor Relations and Corporate Communications with Centerra Gold. The floor is yours, ma'am.
Lisa Wilkinson: Thank you, operator and good morning, everyone. Welcome to Centerra Gold's first quarter 2025 results conference call. Joining me on the call today are Paul Tomory, President and Chief Executive Officer; Ryan Snyder, Chief Financial Officer and David Hendriks, our new Chief Operating Officer. Our news published this morning outlines our first quarter 2025 results and should be read alongside our MD&A and financial statements, which are available on SEDAR, EDGAR and our website. All figures are in U.S. dollars unless otherwise noted. Presentation slides accompanying this webcast are available on Centerra's website. Following the prepared remarks, we will open the call for questions. Before we begin, I would like to remind everyone that today's discussion may include forward-looking statements, which are subject to risks that could cause our actual results to differ from those expressed or implied. For more information, please refer to the cautionary statements in our presentation and the risk factors outlined in our annual information form. We will also be referring to certain non-GAAP measures during today's discussion. For a detailed description of these measures, please see our news release and MD&A issued this morning. I will now turn the call over to Paul Tomory.
Paul Tomory: Thank you, Lisa and good morning, everyone. In the first quarter, we generated positive free cash flow at both operations. gold and copper production in the quarter was approximately 60,000 ounces and 12 million pounds respectively. Our 2025 production guidance is unchanged and we expect a strong second half of the year, driven by increasing grades. We maintained a strong cash position of $608 million ensuring financial flexibility to advance ongoing and prospective project activities. We remain focused on returning capital to shareholders with the Board approving the repurchase of up to $75 million of Centerra's shares in 2025. We believe buybacks are an effective tool to deploy our cash in line with our capital allocation strategy, while preserving the financial flexibility to support investment in future growth. The recent implementation of U.S. tariffs had no impact on our operations in the first quarter. While we continue to monitor this situation, no significant impact is expected on our mining operations at Mount Milligan and Öksüt, and restart activities at Thompson Creek. We are assessing the potential impact of tariffs on Langeloth. However, we don't currently anticipate any material impact at the Centerra level. This morning, we published an updated resource at Kemess, which demonstrates the robust mineralization in the highly prospective Toodoggone District of Northern BC. In 2024, we completed over 11,400 meters of core drilling and those results have been included in the updated resource. Gold mineral resources are estimated to contain 2.7 million ounces of indicated and 2.2 million ounces of inferred. Copper mineral resources are estimated to contain 971 million pounds of indicated and 821 million pounds of inferred. And the grades at Kemess compared favorably to those in the reserves at Mount Milligan. We have doubled our 2025 exploration guidance at Kemess to between $10 million and $12 million with a total of 28,500 meters of drilling planned. The focus is expected to be on infill drilling for the open pit and underground targets, and also to test high-grade mineralization in the deep Kemess offset zone, which is currently not included in the state of mineral resource. We are moving forward with a preliminary economic assessment on the Kemess project using an open pit and underground operation with long haul open stoping and backfill. The study is expected to be completed by the end of the year. Kemess's significant infrastructure already in place, which is expected to lower the execution risk compared to a typical greenfield project of this scale. Complementing the existing infrastructure is anticipated that new crushing, conveying and mine infrastructure will be required for the open pit and underground operations. With Kemess, we're advancing the studies for a potential gold copper mine with a possible 15-year operation in a top-tier mining jurisdiction. We are targeting a project for the potential average annual production of approximately 250,000 gold equivalent ounces, which along with Mount Milligan would give Centerra two long-life gold-copper assets in British Columbia. Additionally, two weeks ago, we supported Thesis Gold with a strategic equity investment. Given the proximity of Kemess to the LawyersRanch project, we see substantial opportunities for synergies including the ability to leverage existing infrastructure to unlock regional potential. I'd like to provide an update on our sustainability initiatives. We remain committed to responsible mining and continue to progress in our permitting efforts. In March, we submitted an amended application for operating permits at Mount Milligan. Mount Milligan is an important producer of copper and gold in British Columbia, and has been selected as one of the provinces critical mineral projects, which is expected to result in a streamlined permitting process. We are continuing to advance our commitment to responsible mining practices and transparent reporting. Our team is actively working on the 2024 sustainability report, which will highlight our progress across key environmental, social and governance initiatives. We look forward to publishing the report in the coming months and sharing the steps we are taking to create long-term value for our stakeholders. Before I move into our operating highlights, I'd like to welcome David Hendriks as our new Chief Operating Officer, who started in April. With a proven track record of leadership and operational excellence, he brings valuable expertise that will help drive our continued success. Slide 8 shows operating highlights on Mount Milligan for the first quarter. It produced over 35,800 ounces of payable gold and 11.6 million pounds of payable copper in the quarter. This was lower than planned primarily due to lower grades encountered in areas of phases 6 and 9 that are at the periphery of the ore body. We maintain our guidance at Mount Milligan with both production and sales weighted towards the second half of the year. In the first quarter, all-in sustained costs on a byproduct basis were $1,168 per ounce, 5% higher than the last quarter due to slightly increased sustained CapEx and lower ounces sold in the quarter. Cost guidance at Mount Milligan is unchanged for the year. The site-wide optimization program on Mount Milligan continues to progress and we've seen improvements in the mine with higher truck availability and increased operating hours. Work on the Mount Milligan mine life extension PFS is on track to be completed in the third quarter of this year. We are optimistic the mine life can be extended beyond 2036, which is currently limited by the available space in the existing tailing storage facility. We are evaluating options for additional tailings capacity, as well as an increase of annual mill throughput in the range of 10%. Now, moving on to Öksüt. First quarter production was 23,500 ounces lower than planned due to lower grades resulting from mine sequencing and impacts from unfavorable weather conditions. We are maintaining our 2025 production guidance at Öksüt with production expected to be higher in the second half of the year as we access higher-grade areas of the mine. In the first quarter, all-in sustaining costs on a byproduct basis were $1,563 per ounce, which is higher compared to last quarter driven by lower sales and higher royalty expense grounds due to elevated gold prices. Full-year cost guidance at Öksüt is unchanged. In the first quarter, we continue to progress the restart activity at Thompson Creek with non-sustaining capital expenditures of $26 million. Since the restart decision in September, we have spent $55 million and by the end of the first quarter, approximately 14% of the total capital investment has been completed. 2025 guidance for non-sustaining capital at Thompson Creek is unchanged and the project remains in line with the total initial capital estimate of $397 million as outlined in the feasibility study. With that, I'll pass the call over to Ryan to walk through our financial highlights.
Ryan Snyder: Thanks, Paul. Slide 11 details our first quarter financial results. Adjusted net earnings in the first quarter were $26 million or $0.13 per share. In the first quarter, sales were over 61,000 ounces of gold and 12.1 million pounds of copper. The average realized price was $2,554 per ounce of gold and $3.80 per pound of copper. Both of these figures incorporate the existing streaming arrangement at Mount Milligan. At the molybdenum business unit, approximately 4.2 million pounds of molybdenum was sold in the first quarter at the Langeloth facility at an average realized price of $21.59 per pound. Consolidated all-in sustaining costs on a byproduct basis in the first quarter were $1,491 per ounce. We have maintained our full-year consolidated cost guidance. Slide 12 shows our financial highlights for the quarter. In the first quarter, we generated positive free cash flow at both mining operations. Cash flow from operations on a consolidated basis for the quarter was $59 million and free cash flow was $10 million, which includes spending of $26 million of development costs for the Thompson Creek mine. In the first quarter, Mount Milligan generated $39 million in cash from operations and $27 million in free cash flow. Öksüt generated $50 million of cash from operations and had free cash flow of $42 million. The Molybdenum business unit used $6 million of cash in operations and had a free cash flow deficit of $34 million this quarter, mainly related to spending of the Thompson Creek restart. Returning capital to shareholders remains a key pillar in our disciplined approach to capital allocation. In the first quarter, we remained active on our share buybacks, repurchasing 2.5 million shares for a total consideration of $15 million. This was up 25% from the last quarter. As Paul mentioned earlier, the Board has approved up to $75 million of buybacks in 2025 and has also declared a quarterly dividend of CAD$0.07 per share. A key focus for Centerra is returning capital to shareholders and we expect to remain active on the share buybacks dependent on market conditions. At the end of the first quarter, our cash balance was $608 million. This provides us with total liquidity of $1 billion and positions us well to execute on our strategic plan and deliver shareholder value. I'll pass it back to Paul for some closing remarks.
Paul Tomory: Thanks, Ryan. At Mount Milligan and Kemess, we are moving forward key growth initiatives while expanding our exploration efforts. Mount Milligan PFS continues to advance with results expected in the third quarter of 2025 and we are progressing at PEA at Kemess with results anticipated by the end of this year. Together, these milestones represent several key catalysts in 2025 that are expected to unlock significant value and further strengthen our growth pipeline. And with that operator, we'll open the call to questions.
Operator: Thank you, sir. [Operator Instructions] The first question we have will come from Don DeMarco of National Bank Financial. Please go ahead.
Don DeMarco: Thank you, operator and good morning, Paul and team. Congratulations on the quarter and moving forward with the Kemess PEA. I think my question is going to focus on that actually. So, with the shift in mining method to long haul open stoping from block caving, I guess there's a read through here to lower initial CapEx, though I believe the prior reports are somewhat dated. So, is it too early to provide any magnitude of development CapEx at this point or put another way, would you expect potential development of Kemess to be internally funded?
Paul Tomory: Hey, Don. thanks for the question. If I refer back to the Kemess cross-section, I'm going to pull that up on the webcast here. The previous concept, which we have shelved last year really involved the block cave over towards the right of the slide. And simply put, there's just too much development CapEx, too little payable metal and too long a timeline for Centerra to accept that risk. What we've been doing over the last year and a half is, we re-inventoried all the drill data, rebuild the resource model on a site-wide basis and we've determined that there's a significant potential for an open pit combined with a more conventional underground operation and those are off to the left of the page. So, not only have we moved away from the block cave as a concept, we've actually spatially moved away from it. So, there's a whole bunch of mineralization over there towards the left of the page that is open pitiable. And then a portion of the block of the former block cave concept could be mined with a more conventional underground method. So, that's what we're doing. Your second question or at least that's what we're going to be assessing here in this PEA and the resource that we've just put out here essentially matches that concept.
Don DeMarco: Okay.
Paul Tomory: Your question on being able to fund this project, this is fundamentally, it's a pretty -- we got some pictures in the press release, but we've got a mill, we've got a camp, we've got a lot of existing infrastructure in place, which would significantly derisk the way we would look at CapEx investment here. There will still be new investment as we showed in the other cross-section, there would be some development for material conveyance and crushing getting it over to the mill, as well as upgrades to the mill. But when we look at capital allocation, this is pretty important point. When we look at our capacity for buyback, we do consider what our capital needs might be, not just including Thompson Creek, which we're executing on the Mount Milligan PFS, but also now, we're starting to break Kemess into that concept of forward liquidity, how we look at buybacks and capital allocation. It is our intent to fund all of our development projects with existing and future liquidity. We don't expect to have to access either equity or debt markets to be able to fund our project pipeline. And that is a fundamental tenant and how we look at liquidity and planning, and the way we look at dividends and buybacks.
Don DeMarco: Okay, excellent. Thank you for that. And continuing with Kemess, you noted synergies with the Thesis' LawyersRanch project specifically to leverage infrastructure there. But what infrastructure did you have in mind? And do you also see other synergies with the potential of the ore body or any of the mineral resources there?
Paul Tomory: Well, we think highly of you and then the team at thesis, we think they have a good project that they're advancing there. When we talk about potential synergies, we refer actually to the infrastructure at Kemess. Kemess is in a way the key to that Toodoggone district, which lies North of Kemess. There's a lot of exploration activity recently. It's a highly prospective region. And we think that Kemess could be the linchpin to broader development in the area. And I'll remind you, we've got the airstrip, there's a power line in place, a camp with the mill. So, there's a very significant set of infrastructure that Centerra owns that could be, I'm not saying it will be, but it could be a significant point of synergy for other deposits in the district. So, as I said, we really like what the team at thesis has done and we're happy to be supporting them here and at least the next phase of their development.
Don DeMarco: Okay, great to hear. Okay. listen, that's all for me, Paul. Thanks, again and good luck with Q2 and the back-end loaded year.
Paul Tomory: We'll talk soon, Don. Thanks.
Operator: The next question we have will come from Lawson Winder of Bank of America Securities.
Lawson Winder: Thank you, operator and hello, Paul and team. Thank you for taking my question and thanks for today's update. When you think about capital allocation now with Kemess in that pipeline, does that deprioritize the need to potentially acquire a new gold project?
Paul Tomory: Good morning, Lawson. Yes. that's a good question. What we like about Kemess is that some of the attributes I listed here, it's built infrastructure, it's a brownfield site. A lot of the permits are in place. We have relations with local First Nations there. And so, when we look at potential M&A, we compare things against that which we have in the portfolio namely, Kemess. And what we find is that Kemess stacks up quite nicely against potential acquisitions. And certainly, when you load in the acquisition cost that in fact Kemess appears to screen very highly against potential acquisition. So yes, I think where you're leading is, does this lessen the need for M&A? And the answer is yes, definitely. That doesn't mean we won't continue to consider M&A. But with Kemess and with the Mount Milligan extension project, we have very significant future potential that we're assessing right now in Centerra. And as I said in my prepared remarks, what we're targeting here is two very substantial gold coppers in British Columbia with significant mine life. So, I think we know, where you're leading with your question is the correct way to look at it.
Lawson Winder: Okay. That's very helpful. And then with respect to Kemess and the potential open pit, do you guys have a sense at this point of what type of strip sense at this point of what type of strip ratio you might be looking at with the current conceptual configuration of both underground and open pit combined?
Paul Tomory: Well, if you go back to that cross-section on the webcast, we're not yet at the stage where we're going to put out PEA level numbers that of course will be the objective of the PEA. But a lot of the mineralization to the left of the page there to the West is relatively shallow. So, we're not looking at very significant strip ratios. There will be some waste. The waste will be more in how we're mining into the side of a hill there. The waste will be associated laying back to one wall, but most of the mineralization there in the open pit area is quite shallow. And that's the material that grades around 0.4, 0.45 in that range and then we -- sorry, down at 0.3 range and then we get the upgraded grades as you go down into the former block cave area, a part of which we're going to look at with a more conventional underground. Those grades are higher down there.
Lawson Winder: Okay. And just finally, on the molybdenum business unit, is there any sort of update on the potential sale process you can share or even if your thinking has evolved on that, do you continue to pursue a potential partnership or sale? And if so, what could the timeline on something like that look like? And if not, then what do you see in terms of the timeline for a completion on Thompson Creek project and ultimately, the long-term value there and how it fit in the portfolio?
Paul Tomory: We remain and we will remain open to any strategic outcomes that maximize shareholder value. So, a sale of the best to share will always be in the cards in that business. However, we see significant value in this business. We think the dynamics in the North American steel industry has been very favorable for molybdenum. We like the project. We're advancing it on schedule, on budget here. And we think that there will be a point at which -- there will be a value maximization moment for our shareholders. But we're not in a hurry to do that. but we would be opportunistic should something come up. But we see significant value in that molybdenum business and it may require a little bit of patience. but we will deliver or we expect to deliver significant value from that business.
Lawson Winder: Is it too early to start thinking about signing or talking to customers on potential future sales for that asset? I mean to what extent have you assessed the current level of demand in the United States?
Paul Tomory: Are you talking about from molybdenum or from molybdenum assets?
Lawson Winder: Sorry, no, from moly itself. Thanks. Yes, thanks.
Paul Tomory: Yes. for the product, what we've seen, Ryan can jump in here. He also oversees the commercial area. But we have seen demand from molybdenum. As you know, at Langeloth, we already produce a finished product molybdenum on third-party material. Just a quick recap on the business case here is we're going to get Thompson Creek up and running. The clean feed from Thompson Creek goes to Langeloth, which allows us to ramp up capacity utilization at Langeloth. But the order book, Ryan, why don't you describe what we've been seeing so far this year?
Ryan Snyder: Yes, sure. And I mean, there's a lot of noise out there, right, in terms of moving volume around globally and tariffs, and things like that. But we've seen really strong demand from our U.S. customers, our steel customers in the U.S. I think if you go back to last year, Langeloth operated at 11 million pounds running through that. We were hoping to step that up to 14 million to 16 million this year and start to move along that growth trajectory. You need Thompson Creek to go to a much bigger scale, but start to step along that growth trajectory. And at Q1, if you look at the financials there, we sold 4 million pounds. So, on an annualized basis that's 16 million pounds. So, the demand is there. Again, there's issues in the world on tariffs moving concentrate around, but we're seeing really strong demand. And we continue to look for long-term relationships with big customers that will support the growth of that business. But we're feeling really good about it in terms of the steel industry rate net loss.
Lawson Winder: Okay, great. Thank you both very much. Appreciate it.
Paul Tomory: Thanks, Lawson.
Operator: And next, we have Raj Ray of BMO.
Raj Ray: Thank you, operator. Good morning, Paul and team. I've got three questions, go one at a time, if that's okay. First up on your operational outlook for the year, how comfortable -- and probably David can come in here -- are you with the flexibility you have in the operation? So, there has been few quarters we have seen some variability. Are you at a position, where you are happy with the amount of grid control drilling you have done and you have visibility or are you behind on that production drilling, if you can give some color on that?
Paul Tomory: Yes, good question. So, we're not changing guidance on production. And as I said in my prepared remarks, we expect better grades at both Öksüt and Milligan. But Dave, this is a good opportunity to talk about what we're doing at Milligan on grade.
David Hendriks: Hi, Raj. Nice to meet you here today. So, at Mount Milligan, we've started a program to do some pretty extensive, call it, mid-term model RC drilling. So, it will really do a large portion of drilling out the next 18 months to take our short-term model, more to a mid-term model and then be able to compare that to our long-term numbers that are there. So, we're pretty confident that this additional information will give us a much better view on what's going on. We're seeing some advances as we go through this new phase of material and we're starting to see some better results. But really, the proof will be between the drilling program that will complete over the next couple of months and our results and probably, at the end of Q2 can give you a much better update on where we expect to be in the next 18 months to two years on the project.
Raj Ray: So, you're saying by the end of Q2, you should be pretty much done with that additional RC drilling and you will have the information?
David Hendriks: That is correct.
Raj Ray: And what about Öksüt?
David Hendriks: Öksüt, everything is projecting towards better grades in the second half of the year. It's part of what's in the current mine plan and everything else, and I don't see any reasons at this point in time. we would not achieve the guidance numbers by year end at Öksüt.
Raj Ray: Okay, that's good. Then, moving on to Kemess, so the updated resource that you published today, Paul, the total mineral inventory is pretty much the same. but I see that there's more inferred now compared to the previous reserves that was there. Is that a function of the change in the way you are thinking about how the mine plan is going to be? What's driving that? Because previously most of it was in the indicated or M&I category. Now, there's almost like 50-50 split between indicated and inferred, if you can touch upon that. And also, yes, just complete that question. Assuming that the end of the year study is positive and you decide to go ahead, like what sort of a timeline you are looking at in terms of when do you start putting the first capital in the ground and when can Kemess come online and assuming everything is positive by the end of the year and your study says, yes, we should go ahead?
Paul Tomory: Okay. So, the first part is on the mineral inventory, if you go back to the cross-section. The resource actually moved spatially. So spatially, there is a degree of overlap between the old and the new. but spatially, we're more in the open pit and less in the old block cave. And in the former block cave area, because of change in mining method, we increased the grade, but decreased the tonnes in the underground and that was offset by additions in the open pit. So, quite simply, there's a bit of a spatial shift and we're going from block cave to long haul open stoping. There's a tonnage loss, but a great improvement. And that was actually part of the strategy is to get better grades out of a slightly more selective method. In terms of timeline, still too early to say that, but our intent is to put out a PEA by the end of the year. And as I said, you've seen the pictures, I mean, this site is a past producer, significant infrastructure in place. That is something we would intend to leverage in any potential development plan. But I don't want to speculate at this point on timelines. But if we like what we see in the PEA, we'd be moving almost immediately to advanced studies, meaning a PFS and then an FS. So that that's the guidance I can give on timing, but it starts with that PEA that we're advancing right now.
Raj Ray: Okay. And lastly on the moly business and what we are seeing in the U.S. right now. Now, you did mention in your prepared remarks that you don't see a material impact on tariffs. Now, from what I understand this year you start trying to expand. So, you will be building up inventory as you look at expanding the production. What's the worst-case scenario like maybe put it this way, where do you get most of your constant, the third-party concentrate from now? And in what situation can it start to impact you?
Ryan Snyder: I'll take that, Raj. Good morning. Yes. Look, that is the one area where tariffs may be impacting some tariff, right? The big mining operations are fairly insulated. At Langeloth, about 60% of the feed right now comes from South America and would be subject to a tariff. We are looking at ways to mitigate that. We feel pretty positive that we can find some strategies to move around that for 2025. Then, the long-term plan is going to be dependent on how the world looks and how long these tariffs stay in place, whether we're able to get aluminum concentrate exempted. I think, there's various strategies that we're looking at. As we look at future growth, we're going to have to assess how much we want to ramp up in future years given the state of tariffs. But we also are lucky that we have big U.S. production coming online, right. When Thompson Creek comes online, that's a big source of U.S. feed for the Langeloth roasted. Without giving away kind of details, we do buy from other U.S. mines. And so, there is a world if we needed to move to a more U.S. centric business that we could look at. But I think it's too early to do that and we're still viewing this as a global business for now. But it doesn't really change the commitment to the moly business and where we think we want to take this.
Raj Ray: Okay. that's good, Ryan. So, you're saying 60% for this year is from South America, meaning 40% from U.S.?
Ryan Snyder: Yes, U.S. or other North American areas that are tariff exempt.
Raj Ray: Okay, okay. That's great. Thank you very much. That's it from me.
Ryan Snyder: Okay. Thanks, Raj.
Operator: Next, we have Jeremy Hoy of Canaccord Genuity.
Jeremy Hoy: Thanks, operator. Thanks, Paul and team for taking my questions. Most of them have been answered. So, I have one remaining and that's on Kemess. Could you provide an update on what's been going on the community relations front at Chemist? And my understanding is that part of the historic decision to move to block cave was due to an improvement to open pits in the region. And I was hoping you could speak specifically to that and what gives you confidence that the open pit is something that nearby community would be open to?
Paul Tomory: Okay, great question, Jeremy. The old open pit concept to which you're referring to was a giant open pit that took out the entire block cave and then some. So, what we're contemplating here is a significantly smaller open pit. And the challenge at that time would have been that the size of that open pit and the tailings requirement associated with the amount of material that would have been processed would have caused a significant disturbance to nearby water bodies. And that is what in effect led to opposition and a no-go in the big open pit. What we're looking at here is a subset. We have a component that's underground and the tailings that we're looking at here would go into a combination of the pit, the old Northgate pit, which is permitted to receive tailings, as well as remaining capacity in the existing tailings dam. So, our project concept here, its tailings fit within that envelope I just described and would not require more disturbance and the combination of the very large open pit and impacts on local water bodies are what caused the problem the first time in that giant open pit that you referred to. So, it's a much more modest scope. And you were asking about the relationship with communities. We do have an IBA in place at Kemess and we maintain very good relations with the local community there and we will continue to engage in dialogue with them.
Jeremy Hoy: Great. That's very clear, Paul. Thanks for your response.
Paul Tomory: Thanks.
Operator: [Operator Instructions] The next question we have will come from Anita Soni of CIBC World Markets.
Anita Soni: Good morning, Paul. So, good to see Kemess back in people's range of thoughts there. It's one of the first stocks I ever covered as an analyst. I wanted to ask a little bit more about some of the parameters around Kemess. Can you remind me, is there a royalty on that? I think at one point, there was a royalty that was out, but I'm not sure if Puerto Rico bought it back and then it ended up within Centerra?
Ryan Snyder: Yes. So, right now and there's a whole different mine plan, and we'll need to figure this out. There is a Silverstream agreement with Triple Flag for just the silver. but none of the gold or copper is streamed or tied up in anything like that.
Anita Soni: Okay. And then in terms of the amount of infrastructure that's there, I think when I was at Mount Milligan maybe, about a year and a half ago, you were talking about potentially selling some of that infrastructure. I just wanted to know if that actually got done or is most of the infrastructure still there in place?
Paul Tomory: Okay. So, when we were at Mount Milligan, again, one of the things we talked about is we also have a very large, very modern mill at Endako and that was always an option as what to do with the material there. So, nothing was sold from either Endako or Kemess over the past couple of years. The mill at Kemess ran at 50,000 to 55,000 tonnes a day and Northgate way back moved one of the lines to Young-Davidson. And in this project that we're looking at here, we are contemplating of course, replacing the equipment that was taken to Young-Davidson. But in the past two years, we have not sold anything from site. So, just to reiterate, we have a process plant, we have a truck shop, we have a camp, importantly a power line to site, an airstrip, water, water treatments and these are all required refurbishment. but it's certainly not a standing start.
Anita Soni: Okay. And then just in terms of -- I know this is super early to ask this question, but in terms of ballpark estimates on how much you think this refurbishment would cost, could you give us a sort of a thumbnail thought on what that looks like right now?
Paul Tomory: I don't want to get into the CapEx numbers at this point, Anita, because we do have to do a bit more engineering work and we're not at a PEA level. But what I can say is that compared to the construction of a greenfield site on the order of 50,000 to 60,000 tonnes a day with all the associated infrastructure, the CapEx here will be a fraction of that, it would be the fraction of a greenfield of this scale.
Anita Soni: Yes, got it.
Paul Tomory: The principal elements of CapEx, so this I can talk about, there would be development CapEx in opening up the open pit, as well as those conveyor tunnels that showed up on the one cross-section. There'd be crushing and conveying's infrastructure. So that would be new physical works. The second main area would be the refurbishment of the mill and the replacement of those components that had been salvaged out of there. And then of course, there would be refurbishment CapEx in the camp and some of the other ancillary facilities.
Anita Soni: Okay. All right. That's it for my questions. Congratulations on getting this thing restarted or almost yet.
Paul Tomory: Thank you, Anita. Yes, we're taking the first steps.
Anita Soni: Yes, thank you.
Paul Tomory: Thank you.
Operator: [Operator Instructions] Yes. Well, this will conclude the question-and-answer session and today's conference call. You may disconnect your lines. Thank you for your participation and have a pleasant day. Take care everyone.